Operator: Hello, and welcome to the Usio Fourth Quarter and Fiscal Year-End 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note, today's event is being recorded. Now I would like to turn the conference over to your host, Paul Manley. Please go ahead, sir.
Paul Manley : Thank you, Operator, and thank you everyone for joining our call today. Welcome to Usio's fourth quarter in fiscal 2023 conference call. The earnings release, which we issued today after the market closed, is available on our website at usio.com under the Investor Relations tab. On this call today are Louis Hoch, our Chairman and CEO; Greg Carter, Executive Vice President of Payment and Acceptance; and Houston Frost, Chief Product Officer; Michael White, Senior Vice President and Chief Accounting Officer will also be available for the Q&A. Let me remind our listeners that certain statements made during the call today constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities and Litigation Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. These risks and uncertainties are described in our earnings press release and in our filings with the SEC. The forward-looking statements made today are as of the date of this call, and we do not undertake any obligation to update these forward-looking statements. During today's call, we will refer to non-GAAP financial measures such as adjusted EBITDA. Our earnings release includes a reconciliation of adjusted EBITDA to GAAP operating income. Management will provide prepared remarks, then we'll open a call to your question. So let me start off with some highlights from this afternoon's release. I am pleased to report another quarter of strong growth with quarterly revenue up for the 13th consecutive quarter, as well as another quarter of positive adjusted EBITDA. This led to record revenues for the year, our seventh consecutive year of revenue growth. As a result, we met both our top and bottom-line guidance for the year with revenues ahead, 19% and adjusted EBITDA coming in at 2.4 million. For the year, revenue in each of our businesses and gross margins expanded despite a decrease in the fourth quarter due to the reduction in New York City breakage margins. We have previously articulated our focus on growing gross profits potentially at the expense of tighter margins. Total selling general and administrative expenses grew at half the rate of revenues for the year, and in the fourth quarter actually ticked down from the third quarter as we had anticipated. We don't foresee any big increases in 2024. Our goal is to continue to improve operating leverage in part by maintaining this tight control on overhead. Cash flow is also strong as cash increased by 1.5 million over the course of the year. This included 1.7 million of interest income as a result of our approved cash management strategy and is also after expending 600,000 on share repurchases. In total, we bought back 400,000 shares in 2023 demonstrating our belief in the business and that our stock represented a great use of capital. The team will go through each of their impressive performances separately. But on the whole, it was another strong financial performance led by a more than doubling and prepaid, another year of double-digit output solutions growth and continued strong performance by payback within our card business. ACH also bounced back growing over the second half of the year despite the challenging comps of the year ago. ACH was able to generate a full year -- was full year growth. As our most profitable business, we look for continued growth from ACH in 2024. A common theme you'll hear today, will be the increasing recognition Usio is achieving in our markets. It's been hard earned, but we have put in the time and the effort and delivered on our promises. This is building both awareness and credibility, which has enabled us to expand our market opportunities, which in turn has led to the strongest pipeline in the company's history. This includes some potentially game changing large opportunities, and as our businesses achieve scale, this is leading to a greater proportion of our revenues that are reoccurring in nature, a solid formula for sustainable growth. Now I would like to turn the call over to Greg Carter.
Greg Carter : Thank you, Paul, and good afternoon, everyone. Card revenues were up again in the quarter leading to a record for the year. Card growth was once again led by PayFac where processing volumes were up 17%. Transaction volumes were up 35%, and revenues were up 25%. So PayFac continues its strong growth. However, the full effect is being somewhat masked by attrition in our legacy singular ISO portfolio, we had purchased singular primarily for their payment technology. Once that technology was developed into our PayFac solution, we essentially stopped selling into the ISO channel. Right now, the two portfolios are about equal in size, but as PayFac continues to grow and become a larger proportion of our card portfolio, total card revenue growth will accelerate. All of our card efforts are therefore completely behind PayFac. First is our portfolio grows, the number of merchants onboarded continues to climb and now exceeds 100 per month. And as these merchants grow in the aggregate, the amount of their processing volume correspondingly increases. Each year, we are layering additional processing volume on top of the prior year's volume. This is essentially a built-in growth engine as we've experienced very little attrition in our PayFac portfolio, but new implementations are the key to faster growth. In the fourth quarter, we completed two significant new implementations, each of which when extremely well. After a long period of blood, sweat, and tears I'm becoming increasingly excited with the success of our organic business development efforts. This has led to a number of new agreements that should begin implementation and start to generate volume later this year. PayFac adoption is a phased process and each ISV is different. I am confident we will have implemented many more new relationships, all of which will be processing with Usio before the year is out. This includes an ISV that serves one of the country's largest national franchise owners. There is no doubt there are increased credibility, as Paul mentioned, is getting us opportunities with these larger ISVs, having many referenceable ISVs, eager and willing to attest to the outstanding performance of our electronic payments platform is opening up new and larger doors. While this activity has kept us busy, I continue to be heavily involved expanding our business development efforts. One of our newer initiatives is with software developers. We have a salesperson dedicated to developing relationships in this industry where we'll be encouraging and then sending them to integrate our payments technology into the software platform as it's being developed. Thus, when the ISV goes to sell the software, we become the incumbent electronics payment channel. Cross-selling with output solution has also been successful as we get adopted as the electronic payments processing platform for the toll roads, parking authorities, and other entities where output is distributing statements. We also remain active on the conference circuit where our steady performance at these events is leading to increased recognition and we continue to refine and improve our basic marketing strategy where we just hosted one of our most well-attended webinars. I have talked about the spade and shovel work we have been undertaking since I have arrived at Usio. It may not have been glamorous, but it has produced significant growth in our payback business. Now we are gaining recognition, establishing more relationships, and expanding into adjacent markets, which is resulting in continuing opportunities in our traditional ISV markets, as well as helping us move upmarket to larger opportunities. Now, I would like to turn the call over to Houston Frost, Chief Product Officer to talk about our prepaid business.
Houston Frost : Thank you, Greg, and thank you to everyone participating in our call this afternoon. Card issuing had a strong finish to a record year for the second consecutive quarter. Card loads exceeded 100 million, bringing loads for the year to a record 371 million. We are seeing strong momentum in card load volumes continuing into the new year. As we often mention, card loads are an important forward-looking metric as they are the precursor to the interchange and transaction fee revenue generated in subsequent quarters. They also can be used in rough projections of inactivity fees and breakage that can be assessed on certain card accounts, generally beginning 12 months or more following the loads. Because of the inconsistency inherent and revenue stemming from the large New York City and other limited duration pandemic related programs. We believe this run of record load volumes is more indicative and informative of the underlying strength of our card issuing business. Card load volumes are coming from not only an increasingly diverse group of clients and program types, but from the growth of long-term clients that started out small and are now substantial. Class wallet, mobile money, and others are good examples. As these organizations grow and their programs expand, our card issuing business follows. In contrast to the volatility that can arise from the addition and discontinuation of large limited duration programs. These clients are more representative of card issuing current focus, so while our total 2024 revenues will be down if you exclude large programs, I expect our core business to deliver another year of attractive growth. With continued growth and load volumes. We are building a solid foundation to support our future growth. I would also like to quickly recognize the diversity of markets we serve and solutions we offer. These include corporate expense cards, promotional, and funds, disbursement programs serving the private, public and nonprofit markets. In fact, private entities now comprise of majority of our top clients. Mobile money is a great example, and with our help, they are launching a new instant issue, general purpose reloadable card program, providing their clients and customers with new features and increased flexibility. As part of our industry diversification strategy, we have also continued efforts to expand in the healthcare market. We just signed an innovative company that enables employers to make tax advantage contributions to employees that have their own individual health benefit plans. These plans are known as individual coverage health reimbursement arrangements, ICHRA. The new client facilitates payments from the employer to the member accounts, and from the member's accounts to the insurance carriers via their ICHRA complete pay payment platform. We continue to build our reputation and credibility in the markets we serve. We've mentioned previously our first state program with a California agency. This is a great reference account for us and could open up larger opportunities this year. And of course, we continue to be a market leader in our support of numerous guaranteed income programs across the country. We will have some difficult quarterly revenue comparisons in 2024, but we expect our load volumes and transactions continue to increase this year and we couldn't be more positive and excited about the future of the card issuing division at Usio. All good things ahead. With that, I'd like to turn the call over to our Chairman and Chief Executive Officer, Louis Hoch.
Louis Hoch : Thank you, Houston, and welcome everyone. As you've heard from our team, it was a solid finish to what was another year of record revenue and it was our seventh consecutive year of revenue growth. We met our guidance for the year growing revenues 19%, and increasing adjusted EBITDA by $3 million as we continually evolve our model to improve leverage, drive more top line growth to the bottom line, that will be a major theme for 2024. With much of the heavy lifting behind us, we are achieving scale in many of our businesses so that we can focus on driving more of the growth to the bottom line. That is demonstrated in our 2024 guidance. Again, results reflect our diversified business strategy, diversified in the markets we serve and the payment channels we offer. What many investors may not realize is that much of our revenue is reoccurring in nature through regular streams of card and ACH payments and prepaid usage. As we add accounts, we build a solid foundation of reoccurring revenue on which to grow further. Let me quickly go through a couple of our business lines. Output solutions had a great year, despite mile slow down in the fourth quarter, precipitated by capacity constraints. That business will now shift over into the first quarter of this year. To address this constraint, in the fourth quarter, we invested in new equipment that will enable output solutions to increase capacity by over 50%. This new technology not only expands our capacity, but it adds new capabilities such as peace level validation that will get us into new markets such as healthcare and other larger jobs. These markets demand an unsurpassed level of uncompromising precision, which we will now be able to deliver. In addition, this new technology includes a portal that will allow customers to view their jobs in real time, what has been distributed to whom and when? That is the kind of white glove service which we are known. And while this equipment opens up vast new markets, we are simultaneously evolving our solutions to meet emerging new demands. In particular, in the fourth quarter, we delivered more electronic documents than paper documents, which led to a year where electronic documents delivered exceeded paper. That is a watershed moment and puts us at the forefront of it, of industry transformation. Relative to print, electronic delivery is growing faster and offers more attractive margins. To support this growth output has hired a seasoned director of operations, who will be tasked with improving productivity and efficiency to ensure we maintain best in class customer service as well for expand margins. But the business still depends on getting our wide portfolio of capabilities into market. And there we continue to be successful. We've added programs to distribute and collect fees and fines on many state tall road systems, parking services such as Los Angeles County and Miami-Dade Counties, and other local government fees. We've landed contracts to print and mail voter registration cards, and we continue to dominate the Texas rule utility market. These are solid base hits that provide reoccurring revenue year after year, and which form a solid foundation onto which we can layer additional programs. In ACH after a year of tough comps. The fourth quarter was the second quarter we grew the business. As a result, ACH revenues were up for the year. In 2024, we expect our ACH business to once again outpace the growth of the industry in part as we continue to strengthen our offering, including integration of real time payments and FedNow on which we're already live. We view real time payments as a complimentary offering to ACH, and as such, they represent a new strategic opportunity to capitalize on constantly evolving market. Paul took you through most of the key financial metrics, let me add a few additional comments. First, I want to note our strong financial position and almost $2 million increase in cash over the course of the past year. Second, I want to note that we used $600,000 to repurchase shares in 2023, nearly 400,000 of which was in the fourth quarter. This demonstrates our conviction and our ability to continue to generate cash, including another 2 million or more in interest income in 2024, our confidence in our strategy and our belief that our stock is significantly undervalued. Finally, I want to note that we met our financial guidance in 2023 growing revenues 19%, compared to a year that included significant portion of revenues from industry we no longer serve. And despite the expiration of one of our largest single use card programs. And beneath the service, we strengthened our company with the majority of our revenues coming from reoccurring revenues and new business arising from our growing recognition throughout the industries we serve. This year could see a major breakthrough, our pipeline is the strongest it's ever been, including several large deals that are looming on the immediate horizon. We've worked hard to nurture these relationships, and we are becoming increasingly confident that we will be rewarded with new accounts, with significant volume. We have a very large and growing portfolio of existing accounts, which offer a measure of stability we've never previously enjoyed. We have layered new business on top of this growing foundation for seven straight years. Consequently, I'm pleased to establish our 2024 guidance. We expect revenue to be up between 10% and 12% for 2024 and adjusted EBITDA to be approximately 4 million to 4.5 million. In addition, we believe we will generate positive GAAP EPS in physical 2024. Keep in mind that we believe we can achieve this growth despite the expiration of one of our largest ever single use card programs that contributed over $10 million in revenue and significant EBITDA in 2023. With that, I will turn the call back to the operator to conduct our question-and-answer session.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Scott Buck with H.C. Wainwright.
Scott Buck : Louis, I was hoping we could dig in a little deeper on the guide and I'm trying to understand what your visibility is for the year in terms of what of the 10% to 12% growth may already be baked into current contracts versus what you have to go out and earn between now and year end.
Louis Hoch : Our first hurdle this year is to replace the spoilage revenue that we had last year that will not be at the same level this year. We're doing that through other business units expanding through both organic growth within the current base and some new clients. As we said on our call or opening notes, our pipeline is very, very rich and we have -- what we call kind of mega deals, which are $5 million or more in annual recurring revenue. And we'll have more news out about some of those clients as we close those accounts. So, this year, where we're focusing on enhancing our operating leverage, that will increase more EBITDA adjusted EBITDA growth and actually yield earnings per share this year. And so, this year of EBITDA for us.
Scott Buck: And then on the payback capacity increase, what have that has already spoken for? I mean, what kind of demand are you seeing there? And I know you bumped it 50% or so. What kind of runway does that give you before you need to start thinking about capacity again?
Louis Hoch: I don't think you meant payback document or output solution. In the fourth quarter, we didn't complete all the work that we could have completed because we were installing new machinery. So that actually got pushed into this first quarter. So, for -- six months before that, almost all the year we're operating at a hundred percent capacity at Usio output. We purchased some new devices, new machines that increased our capacity 50%. So we're able to complete a week's worth of our normal work in 2.5 days now. And we're already seeing benefits from that, and so we're able to take on more work from existing clients. And some of our clients are large enough that they work with not just output solutions, but they have other print providers and we may be the preferred one, so we can go back and get more volume from them now.
Scott Buck: And the 200 or so million on the prepaid program that you guys have gotten over the last two quarters, what of that has been dispersed to cards or versus what you're holding on in your accounts currently?
Louis Hoch: Well, it is that 200 million would be in either on cards or that money would be in our bank account hasn't been loaded yet. And if you look on our balance sheet that we're reported, it'll say the exact number of what's sitting in our bank account that hasn't been loaded. What's that number, Michael?
Michael Long: $32 million.
Louis Hoch: So 32 million, and then I can't tell you off the top of my head how much is on cards. It's probably around.
Scott Buck: It's approximately the same, and just real quick, Michael, the card load figure that is the dollar loaded to cards not funds waiting to be loaded to cards. Is that accurate? I'm pretty sure that figure is card load and does not include funds waiting to be loaded.
Michael Long: So 32 million Houston is what's sitting in our bank account waiting to be loaded as at the end of last year, and there's roughly about 40 million on cards right now.
Scott Buck: I appreciate the clarification there, that's it for me. Appreciate the time guys, and congrats on the results.
Operator: The next question comes from Jon Hickman with Ladenburg Thalmann.
Jon Hickman : So, couple of questions. Could you specify how much of the New York, how much breakage you did recognize in Q4, and then some sense of what that might be going forward?
Louis Hoch: I don't think we released that number. I know that we're still going to have some breakage till the end of the second quarter of this year. But it is the significant drop off occurred at in Q4.
Jon Hickman : And then could you comment on the settlement between Visa and MasterCard about what they can charge retailers and stuff? How does that work into your card, into the interchange fees that you guys are going to get?
Louis Hoch : I assume you are talking about the recent news, that case has been pending for, I don't know, five years, something like that.
Jon Hickman : Yes, it seems like they settled it today.
Louis Hoch : Yes, to be honest, I'm not well versed on that. What's important to understand is we set our prices, so even if Visa and MasterCard, have to lower rates, we do not. And so, in most cases when things like this happen with interchange, it just increases our margins. But I will go back and review it. I'm not sure if they changed anything with interchange rates because of this.
Jon Hickman : And then I have just one more question. You have mentioned that you have four, like really big PayFac opportunities. I assume that none of those are in your guidance for the year. Is that true?
Louis Hoch: We assume some new growth from accounts in PayFac. I mean, we ended the year with the number of accounts. I'm sure Greg can quote the number that have already been sold in that are in implementation. So we're going to get some growth there. We were also seeing organic growth from the existing accounts. But what we're really excited about this year is something that we haven't had in the past is that, we have four accounts that we consider Omega accounts and they really moved the needle and we should have some news describing at least one of them shortly.
Jon Hickman : Yes, but my question is, have you put those in your guidance for the year or not? Those four, they're not specifically those four.
Louis Hoch: Yes, they're not. But so, we did do some increased sales in our guidance.
Jon Hickman : Yes, I get that. I just wanted to know about those specific four.
Louis Hoch: Yes, that's why we're saying that really moved needle for us as we close these.
Operator: The next question comes from Gary Prestopino with Barrington Research.
Gary Prestopino: A couple of questions here. Greg, you went through some metrics on processing volume, transaction growth and revenue growth. I just want to make sure, and this was for PayFac, I assume so could you just repeat that? Was that a Q4 number or was that a year number?
Greg Carter: That's a 2023 number. And that was for PayFac only.
Gary Prestopino: What was the processing volume up?
Greg Carter: 17%.
Gary Prestopino: And transactions were up 35% and revenue was up 25%?
Greg Carter: Correct.
Gary Prestopino: And as I just go through my notes here, at this point, both portfolios are equal in size in terms of revenue generation or just in terms of what processing merchants, whatever?
Greg Carter: Revenue.
Gary Prestopino: So for this year, as PayFac grows, we should see PayFac starting to become a bigger part of the business and possibly see some acceleration in the revenue generated from card.
Greg Carter: That's correct.
Gary Prestopino: And then I just want to understand this, Houston, with this, this card load. Well, first of all, I want to understand you had about 10 million of breakage revenue that occurred in 2023 that the bulk of which will not be repeated. Is that correct?
Greg Carter: There's probably 2 million or less remaining that will come out very slowly through the remainder of the year. But now there's going to be breakage and inactivity fees assessed to other programs. So we're really only referring to New York City with those numbers. So I'll pause there and see if I answered your question.
Gary Prestopino: No, that's fine. What I'm trying to understand is, I mean, if there was 10 million of breakage, you basically doubled your revenues. I mean, was that like at such an extremely low diminimis margin to the business?
Greg Carter: The overall margin on that 10 million or 12 million was over 30% kind of on average. So there was a little bit of a steering system that occurred there, but so different quarters had different margins but it was approximately 35% overall. But some quarters were higher margin. And then, there was some tiering that occurred.
Gary Prestopino: So you say it had a 35% gross margin?
Louis Hoch: On average for all the breakage on that particular program during 2023.
Gary Prestopino: Then in looking forward to what you're doing for this year, you got 371 million loaded on the cards, right? Is that correct? As I'm going through my notes,
Louis Hoch: That's 2023 numbers.
Gary Prestopino: That's loaded on the cards with the expectations that that should be spec. So, is that coming in at a much higher margin? Because I mean, you're losing 10 million in revenues at 35% margins. I mean, is this new business that you're putting on the books at much higher margins than that 35%? I'm just trying to get to how you get to where you want to be.
Louis Hoch: Well, a couple things. One is yes, specifically referring to breakage, our margins will be higher on smaller programs. But the other thing that to recognize here is that breakage is going to become a less significant component of our revenue generation. So what we're seeing is a substantial increase in corporate expense volume, which has higher interchange for us and much larger margin on that interchange. We're seeing some more custom programs where they're direct client fees, and so that has a certain gross margin associated with it. And then again, to reiterate, the most important thing to realize is that card load volumes will go up from 2023 to 2024. So, you're going to see acceleration really beginning in Q2, but then even more so Q3, Q4. But we're going to have a lot more dollars running through the card. While the breakage component of the revenue, it is going to go down, we're going to be generating more revenue on interchange transactional fees as well as client fees.
Operator: This concludes our question-and-answer session. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.